Operator: Good afternoon. My name is Jason, and I will be your conference operator today. At this time, I would like to welcome everyone to the Farfetch Third Quarter 2018 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I'd now like to turn the call over to Alice Ryder, VP of Investor Relations. Ms. Ryder, you may begin your conference.
Alice Ryder: Thank you, Jason. Hello and welcome to Farfetch's third quarter 2018 conference call. Joining me today to discuss our results are Jose Neves, our Founder, Co-Chairman, and Chief Executive Officer, and Elliot Jordan, our Chief Financial Officer. Before we begin, we'd like to remind you that our discussions today will include forward-looking statements. Actual results could differ materially from those indicated in the forward-looking statements and forward-looking statements may today speak only to our expectations as of today. We undertake no obligation to publicly update or revise these statements. For a discussion of some of the risk factors that could cause actual results to differ, please see the risk factors section of our final perspective in connection with our initial public offering, which was filed with the SEC on September 24, 2018. In addition, we will refer to certain financial measures not reported in accordance with IFRS on this call. You can find reconciliations of these non-IFRS financial measures to the IFRS financial measures in our earnings press release and the slide presentation both of which are available on our website at farfetchinvestors.com. And now, I'd like to turn the call over to Jose.
Jose Neves: Thank you, Alice. It's great to be with you today. Thank you for joining our first earnings call. Let me start by thanking all of our employees, our Farfetches, and our brand and boutique partners and our highly valued customers for all their support over the past 10 years since I first began in 2008 and throughout our IPO. During the IPO, we had the opportunity to share our vision and the Farfetch story we've invested some all around the world. And we received such an incredible reception. We are now more excited than ever about Farfetch's opportunity to be the platform for the luxury industry. Before I have to take you on our third part of progress, since today is our first earnings call, I would like to give you a bit of background on Farfetch. But before I do that, I want to set out the scale of the opportunity in the luxury fashion industry. We believe we have such an amazing opportunity to transform what is currently a $300 billion global industry where e-commerce is still in the early stages of development. In 10 years' time, we believe this industry will be worth $500 billion and online will be at least 25% of that, maybe 30%. This will represent a full incremental opportunity of $100 billion in new business and we believe Farfetch is well positioned to take the lion share of that attractable market. Farfetch was founded based on my love of the fashion industry and of technology. I started my career developing software for the fashion industry and being from the north part of Portugal, I've been around the industry my whole life. I cut my teeth into the fashion industry in the 90s and early 2000s as a designer and boutique owner, in parallel with my regional software business. And this experience brought a lot of learning on how the industry works and the challenges it faces. Back in 2007, I saw that the internet was going to permanently change the industry as it has changed every other industry and that fashion had only just begun embracing the channel. I could see a transformation turning in terms of how consumers discover fashion and how transactions would take place. What was also striking was that there was no marketplace or platform for this very resilient industry. To me, this was and is a huge opportunity as this is an industry, which lends itself perfectly to marketplace dynamics. On the supply side, the market is very fragmented with thousands of designers and a long tail of supply. Even the biggest labels, actually, represent the lowest single digit share of the market. On the demand side, there are luxury fashion lovers all around the world. Literally from Tokyo to LA, they want to be connected to the greatest fashion the world has to offer and this is what Farfetch has built, a platform connecting the creators to curators and to consumers of fashion globally. We began establishing relationships with the best friends and retailers in the industry and launched our marketplace in 2008. Today, Farfetch remains the only truly global marketplace for luxury at scale. We share enviable relationships in the industry. Both Chanel and [indiscernible] are investors in the company and we now have more than 1,000 direct brands and boutiques to find luxury items to our 1.2 million active customers around the world. We have built an unrivaled, inspiring destination for the world of luxury and we are the innovation partner trusted by the most prestigious brands in luxury because the brand representation that they have built over generations. Our platform is purposeful to connect the world's luxury fashion ecosystem. We control all aspects of the end-to-end process of a transaction, operate global logistical scale, and deliver consistent luxury experience. The Farfetch marketplace is the largest component of our platform and the main way we monetize our business today. Our consumers, we offer the broadest and biggest selection of luxury fashion online in a delightful and beautiful experience. And for sellers, we offer unprecedented access to high intent consumers, a global logistics network, and the full suite of services ranging from photography to high-quality customer service that the luxury consumer would expect. We are the only platform with the technology and the relationships to power this massive industry. A key differentiator of Farfetch is the sell-through enforcing network inside of our marketplace. The more brands, boutiques, and department stores we have on our marketplace, the more consumers tend to us, which in turn generates increased sales for all sellers, attracting additional sellers and supply points to the platform and to one. This is a power portfolio that we believe will enable us to be the catch reliever in a winner takes the most markets over the long-term. Our vision is to be the platform for the $300 billion global luxury market, which largely has been left behind as the rest of the world has transitioned online. Millennials and Generation Z are becoming increasingly important luxury consumers forcing the industry to accommodate new demands of a digital first or digital only generation. These dynamics, combined with a growth of luxury consumption in China, Italy, and other emerging markets, create a compelling opportunity that we are uniquely positioned to capitalize on. Over the course of a decade, we have invested in our technology, built strong relationships, and successfully established ourselves in an industry notoriously difficult to occupy. And as a result, we believe we have sold the paradox of modernizing the luxury fashion industry. The way I see it, Farfetch has completely first package and this was chapter one. We have built an incredible foundation but this is just the beginning. Chapter two started today of our IPO, a turning of pages for our Company to even more exciting opportunities. We believe Farfetch is still early in its investment cycle. The industry still has very low online penetration at 9% as of 2017 and we see opportunities everywhere to transform the way luxury works and to build tremendous value. We paid the lion's share of the online portion of an industry that we believe over the next decade will grow to be worth more than $500 billion. We will continue to invest in sustainable growth as a priority over shortened profitability. While we catch the market share, we will carry on demonstrating discipline in our demand generation costs and leverage our fixed cost base. But where we see opportunities for further growth leading to increased longer-term profitability we will invest in technology and in our brand. Our Q3 results reflect precisely this strategy. I'll now cover our Q3 highlights. Starting with some financial highlights for the quarter. We had successfully executed our IPO but with strong demand from some of the world's best long-term investors, we increased our IPO price to $20 per share and expanded the primary issue, resulting in $305 million in incremental cash rates for the business. The IPO was obviously a milestone achievement for the whole company and I am proud of the whole Farfetch team for staying focused on execution to deliver strong results. The Monday after the IPO, I was very pleased to see everyone was back at their desks focused on the opportunity ahead of us. Elliot will share further details on the financials but I just want to draw your attention to some key highlights. Our group growth missionized value, or GMV was $310 million for the quarter driven by platform GMV growth of 53% year-on-year, which is about twice as fast as the growth of the online luxury market. We generated $1.25 billion in GMV over the last 12 months and our performance was broad-based. All three of our geographic regions, Americas, EMEA, and APEC, have had the best Q3 ever in terms of GMV. Active consumers were up 42% with a number of orders up 55% year-on-year. Q3 2018 platform services revenue was up 61%. We have remained focus on GMV growth and achieving this in a disciplined manner. Platform contribution matching increased 82 basis points to 40.8% in Q3 compared to 40% in the same quarter last year. Now, I'd like to move onto highlights in terms of growing and developing our supply. Over the last quarter, we expanded brand and boutique relationships for brands and that of supply finding a number of new direct brands including Moschino, Victoria Beckham, and Tory Burch. We also added boutiques in new countries, Russia and Estonia, and maintained our strong retention rates of our brands and boutiques. In terms of the categories, we cover, Q3 for a number of exciting developments. In fine jewelry, a category we launched in Q2, we saw the debut of our collaboration with Dover Street Market, one of the world's most renowned luxury retailers with six global locations. Together, we launched a spectacular section specifically for fine jewelry adding an exciting roster of designers and creating beautiful editorial content to celebrate the launch. Another category we are particularly excited by is luxury streetwear where we see strong demand and where we believe Farfetch is clearly leading in terms of selection. For example, we did an exclusive capsule with Browns and Off-White. And earlier this year we added Stadium Goods, one of the world's leading destinations for rare sneakers and limited edition drops as a seller on the marketplace. And finally, for supply, we successfully went live with our first department store, the iconic Harvey Nichols, which was founded in 1831. And we maintain active conversations with several others. Now, turning to some developments from our business-to-business applications. Farfetch Black and White Solutions launched two new brands, Roberto Cavalli and Neil Barrett, on its five-label platform deciding the brands with an e-commerce solution with the same technical features and ongoing innovations as the Farfetch marketplace. In July, we agreed to acquire CuriosityChina, a digital technology company with best in class social CRM and digital market solutions to provide a plug and play suite of services and helping brands expand in China via web, app, WeChat Star, and many programs. In terms of logistics, we're delighted with the launch of Fulfillment by Farfetch. Fulfillment by Farfetch is a service whereby brands of large retailers can ship their products to us on consignment with Farfetch handling global logistics from third-party warehouses managed by the Farfetch platform. In China, we've launched Fulfillment by Farfetch as part of our partnership with JV Logistics. Brands now using the service include Saint Laurent. The service is fully operational and ready to scale. This is in addition to fulfillment by Farfetch facilities in New Jersey, London, and [indiscernible] Italy. Q3 also saw a number of highlights in terms of products and services for our customers. Starting on the product side, we are extremely excited by two new mobile developments. In China, we have launched a new iOS app, which is now completely developed by our team of Chinese engineers and product managers and fully integrative into the platform via our API. The new China app shows double-digit improvement in conversion rates versus the previous version, which was the global app translated in Chinese. Having a local Chinese app also allows us to now roll out new updates for our Chinese customers much faster. Globally, we have also revamped our iOS app with a fresh new design and exciting features including visual search, where you can scan or snap a picture or capture an image from Instagram and find the item all similar on Farfetch. As part of our DIP service, we continue to develop the fashion concierge conversational commerce unit. This business generated some of Farfetch's highest selling phase. A watch was sold for $147,000, a necklace set for $160,000, as well as a multi-item, multi-plan order for $150,000 using fashion concierge. The majority of these items were brands offline exclusives and not available on Farfetch.com or other online luxury websites, which gives our VIPs a differentiated service. On the technology infrastructure front, we are now a fully geo-distributed platform with our China data center handling 100% of China traffic making the experience for our customers much faster. We now have three global data centers in the cloud, which are linked and operate on top of one single data platform and API, which means they provide a super-fast experience to global users but also state of the art disaster recovery and reliability for the Farfetch global platform. We believe these capabilities are absolutely world class and very hard to replicate. Now, turning to our platform vision, we continue to be committed to relentless innovation. As we believe the industry has a myriad of significant inefficiencies that can be solved by technology and we continue to see exciting developments here. Farfetch Store of the Future's progressing well, with the first Chanel store expected to launch in 2019. Ongoing developments of Store of the Future Browns also continue as planned. Dream Assembly, Farfetch's early stage technology accelerator, launched in September and the feedback from our first core heart of 10 start-ups selected from 150 candidates from around the world, is phenomenal. We are very excited about these start-ups who we selected to cover areas where we think there is huge potential for industry-wide transformation such as blockchain as an enabler of authentication in luxury, sustainability with a focus on the circular economy, and 3D avatar technology applied to online luxury fashion to answer the two Holy Grail consumer fashions, [indiscernible]. None of these achievements could have happened without our incredible Farfetches. Our team of almost 3,200 people in 13 offices around the world continues to focus on innovation and building our company. With this in mind and with our growing workforce, we have committed to expanding our London headquarters to enable future growth of the business effectively building our space in London. As you can see, we should be love in Q3. And now I would like to hand it to Elliot to discuss the financial results and guidance in detail.
Elliot Jordan: Thank you, Jose, and hello everyone. I'm delighted to present to you the 2018 third-quarter earnings for the Farfetch Group. As Jose has been describing, we have completed a very strong quarter. Group GMV grew 52% year-on-year to $310 million reflecting the strong momentum and platform GMV, which increased 53% over the same time period to $306 million. I'm particularly pleased by this performance as we are comping against a Q3 growth rate from last year of 60%. Our third-party marketplace continues to drive over 90% of our platform GMV. We provide an n2n technology and fulfillment solution and act as a selling agent for over 1,000 direct brands and boutique partners. We charge a commission on platform GMV generated as a result and we have seen strong performance from these partners over Q3 with sales and the upward GMV growth at around 50% year-on-year. Overall, we have seen very good growth in the [indiscernible] and [indiscernible] of supply uploaded to the platform from our broad mix of partners. The stock value on the Farfetch marketplace for Autumn/Winter 2018 of $2.7 billion at quarter end. Black and White, our white label business, grew faster than the marketplace with five new clients year-to-date. The sales traded on these websites drives our other platform GMV. In addition, we have also delivered remarkable growth on the platform from our first party business where we continue to leverage our unique customer and fashion basic capabilities to help salute product lines that have appealed to our younger millennial audience. We have also successfully partnered with designers to create unique capsule collections. During the third quarter, these sales grew at about three times the platform average from a small base. Focusing on the demand side of the marketplace, we have seen strong loyalty from existing customers. Growth and active customers to 1.2 million plus an increase in the frequency of orders per customer leading to overall growth in orders of 55% year-on-year. We did see a slight year-on-year decline and reported average order value to $585. This was mostly driven by a stronger US dollar in Q3 2018 versus Q3 2017 which we estimate resulted in a 3% translation impact from non-US dollar baskets are now overall AOV. Another contributing factor to year-on-year AOV is the increasing uptake in loyal customers benefiting from our free shipping offer, which reduced the fulfillment GMV component off the baskets. Taking these into account, underlying AOV is broadly in line with last year. Reported revenue grew 52% year-on-year to 132 million. Stripping out fulfillment revenue and Browns in-store revenue, our platform services revenue, which is the same as what we previously called adjusted platform revenue, grew 61% year-on-year driven by our third-party commission income and growing mix of one piece sales 100% of which drops through to revenue. As expected, third party take rate declined from 32.4% in Q2 to 31.9% in Q3. We assigned some very strategic larger supply partners over the last year which is substantially increased our product offering. The take rate declined quarter-on-quarter as a result of a mix shift toward these lower commission suppliers. Offsetting this mix effect is improving underlying commission levels across the seller base where we have been renewing our partnership agreements at commission rates that reflect the increasing value-added services we provide on the platform. Turning now to platform order contribution margin, our key indicator of variable profitability. This measure increased 82 bps year-on-year to 40.8% of platform services revenue as our platform order contribution increased 6% on a per order basis over the same time period. Growing scale is helping us to drive efficiencies across our order fulfillment costs, lowering the cost of shipping and logistics per order year-on-year. Our approach has been to reinvest these benefits back into our customer offering. As I mentioned earlier, we have put more weight behind our free shipping offer, which has driven strong retention from our most loyal and valuable customers. This improved retention has a positive impact to order contribution margin due to the lower demand generation costs associated with loyal customers compared to new customers. We have also delivered efficiencies with a now demand generation spend by leveraging our unique data capabilities; define prospects that are highly engaged in the luxury category. This allows us to use a broad mix of channels to target and engage with our customers and to continue to improve returns from high-cost online channels. Overall, we have reduced demand generation expense from 25% to 21% of platform services revenue year-on-year. Moving to our other expense lines, our technology spend has increased year-on-year to 17% of adjusted revenue as we have grown our technology staff headcount by 68% versus last year as well as invested in additional software and infrastructure to support the continued growth of the business. As Jose mentioned, the tech teams have rolled out an extensive list of new developments across the quarter, both with a consumer focus, such as our new visual search, new product pages, refreshed iOS app, and guest checkouts, as well as for our supplies of course, like our enhanced price setting tool to enable price by size, which is essential for children's wear and streamlined functionality for global price setting. We now operate three globally distributed cloud-based data centers, which seamlessly support the growing volumes transacted across our platform. As Jose mentioned, we have one live in Shanghai to support our Chinese consumers. The year-on-year growth and ticket spend also reflects all the work done to support an elevated level of compliance, including but not limited to, GDPR, which went live across the first half of the year. Within G&A, which includes our people, our platform services, brand, and corporate costs, we have delivered operational leverage year-on-year from 58% to 53% of adjusted revenue reflecting further efficiencies from our cross space. Also, we continue to invest in our talented team and infrastructure to support our platform services revenue. We have delivered efficiencies within our production, account management, customer service, and monthly buying and merchandising teams. In terms of investment, Jose mentioned our additional office space in London and we have also increased our capacity with existing third-party logistics providers to support the growing fulfillment by Farfetch opportunity. The strong revenue growth improving order contribution fixed cost leverage, an investment in technology, has resulted in an adjusted EBITDA loss of $32 million in Q3 2018 with margin in line with the same period last year. This is in line with our financial strategy and reflects our continued investment into the growth opportunities we see for the business. Of note, below-adjusted EBITDA is our share-based payment charge of $38 million and depreciation and amortization charge of $6 million. The share-based payment reflects the quarterly charge of our annual stock-based compensation plan but also the need to revalue our expected liability for employer taxes and amounts due under cash settle positions on the back of the quarter end share price. The liability for our legacy cash settled employee options will be marked to market to our share price movements each quarter over the next 24 months. Depreciation and amortization reflect the step up in catalyzed development costs in prior periods. Looking ahead to Q4, which has started well, with good growth throughout October? However, our quarter is heavily dependent on the next seven weeks with a critical holiday trading period still ahead of us. While this period is always very competitive with this year being no exception, we have a very strong customer offering and expect a good response from our luxury consumers as a result. Taking all of that into consideration, we now expect platform GMV of $435 million to $445 million, which is a growth of 42-45% year-on-year with platform services revenues growing a couple of percentage points faster on the stronger 1P mix year-on-year. We continue to expect strong order growth and while two four order values will increase from the Q3 position as the higher priced winter season is now in full force, think winter coats and cocktail dresses over board shorts and yacht wear, we expect the stronger US dollar position year-on-year will continue to create a slight negative translation effect on the AIV position compared to Q4 2017. Turning to our expected EBITDA position. I'd like to reiterate what Jose said, that we are at the early stage of the investment cycle. With significant channel shift under way even in the industry and further online market share to catcher, our strong indications of success in terms of growth, strong unit economics, and fixed cost leverage, it should come as no surprise to you that we will continue to focus on investing in the business, defer the strength in our superior positioning in the industry. As such, while we now expect Q4 GMV and revenue growth to be higher relative to our prior expectations, we are not expecting an incremental change to our adjusted EBITDA estimates of Q4. With that said, I look forward to speaking to you all in the new year.
Jose Neves: Thanks, Elliot. A few weeks ago, we celebrated our 10-year anniversary. Looking back over the first 10 years of what I call [indiscernible] I am extremely proud of what our team has accomplished. From day one, Farfetch has had a global approach in building an n2n infrastructure to serve our customers who span 190 countries while we also acted locally and have now set up 13 offices to serve our regions. Along the way, we also established relationships with the world's best brands and boutiques to create a marketplace for an industry that didn't have one before. Now, we turn our focus to chapter two. When I think about who is going to take the lion's share of this growth in the industry, I believe it will be a single platform company. I believe Farfetch is uniquely positioned as the global platform for luxury to be the catch reliever in this space and we are absolutely focused on growing ahead of the industry pace to capture this opportunity. Thank you again for joining us and with that, I'd like to ask for your questions.
Operator: [Operator Instructions] And your next question comes from the line of Eric Sheridan from UBS. Eric Sheridan, your line is open.
Eric Sheridan: Okay. So I guess I'll leave Doug's questions for him to ask when he re-queues but maybe just thinking about the GMV growth you saw in the business. I want to know if we could get any color by the geography of what drove some of the outsized GMV growth, how we should think about some of the global landscape you're seeing on the consumer side of the platform? And then secondly, turning back to the inventory side, some key announcements on the department stores and with some new brands, how should we think about some of those conversations continuing to involve in terms of adding depth on the inventory side of the platform looking out to 2019 and beyond? Thanks, guys.
Elliot Jordan: Hi, Eric, great speaking to you again. In terms of GMV, it's broadly followed the historical numbers that you've seen - recent historical numbers that we've been seeing with good growth across the three regions that we've been talking about; the Americas, Europe, Middle East, Africa, of course, and the Asian segment as well. And the mix has changed slightly within all of those; we're still seeing good growth out of China, out of the Americas, actually, we've got good growth coming out of Mexico. And out of Europe and the Middle East, very strong growth coming through from the Middle East, of course. We launched the Arabic website across the first half and that is really delivering very good results in that region. Again, broad mix of GMV all growing, obviously, slightly ahead of where we thought we would be growing.
Jose Neves: Hi, Eric, I'll pick up on the second part of the question regarding department stores, brands, and additions to the supply base. We obviously realize it with the launch of Harvey Nichols. It was a very quick integration and technical implementation so I thank the Farfetch teams for that. We are, as I mentioned, in conversations with a number of other department stores and we expect this to evolve in a positive way. I would like to exercise that these companies by nature are very large but we are not looking to add dozens of them or a big number of them. It will be well paced to make sure that we add liquidity to the marketplace and add supply in a balanced manner. But we do expect the conversations to evolve positively in 2019 and we believe that we offer department stores a fantastic proposition. Department stores are typically domestic and typically their profile of online sales. They typically are only present in a big way in their countries, in their territories. And Farfetch is a global amplifier that provides them with incremental exposure to a global consumer, including very hard to crack geographies such as China, the Middle East, and other emerging markets. We continue to see strong interest from these companies and I'm very happy with that evolution. We have a very strong pipeline so expect to continue to see many brands joining the Farfetch platform. We used our data set on our data capabilities and to constantly monitor which are the next brands we should add to our roster. And that is driving the conversation. So very public development on that front.
Operator: Your next question comes from once again from the line of Douglas Anmuth from J.P. Morgan. Your line is open.
Doug Anmuth: Thanks, I'll try again. Just going back to the strategy on optimizing for growth and market share. Pretty clear from the 3Q numbers and the 4Q outlook, Elliot, I was just hoping you can kind of highlight the top three investments as you're going into 2019? And second, just following up on the department stores and brand mix? Can you just talk more about how you expect take rate to trend as those become a bigger part of the business here over time? Thank you.
Jose Neves: Hi, Doug. Jose and nice talking to you. Apologies for some problems in the line before. I think in terms of the broad areas of investment, I expect to see a continuation on what we've seen in Q3 with investments in technology. We have seen incredible benefits and a very fast return on investment. The conversion rate, for example, of our China app, is double-digits above the previous app. We're seeing across all the literally dozens of products we're launching every month, we're seeing a very good return on investments. We see this as an area where we will continue to invest. Other areas include the brand, we believe that the big opportunity to build the Farfetch brand. And as you know brand marketing exists in our HEMA cost line and there will be some investment in that area, potentially in 2019 depending on the results of the current investments we're doing in the brand marketing area. And finally, retention and loyalty. As you could see in Q3, we are seeing very strong results in terms of investing our best customers. We're rewarding them with free shipping, rewarding them with strong loyalty programs and I'll give you something that has a positive effect on demand generation because if you think customers cost less in terms of demand generation, obviously then they're new customers. So deploying some of the efficiencies back into customer retention is something that is reporting well and we will probably continue on that path. I'll let Elliot pick up there on the take rate question.
Elliot Jordan: On the take rate, prior earlier as you say, Doug, saw a bit of take rate coming through in the quarter than we had expected. And as you know, that is broadly down to the mix of the different boutiques by size and brands by size and what we actually saw across the quarter was, this is a mix effect in terms of dragging the take rate down because we saw very strong growth from our smaller partners and our boutique partners, which obviously add an average take rate that's higher than some of the larger brands that we added over the last 12 months. We're also seeing, as I mentioned earlier, a really good renegotiation period. We were seeing commission rates moving up in terms of renewing contracts and that's on the back off the value-added services that we're providing. The brands and the boutiques are absolutely seeing Farfetch is an excellent channel to drive growth and really reach the audience, 1.2 million customers, very young customer base. So the customer reach is very appealing and we're getting good value from that. In terms of looking forward, we should still expect that there will be moderation in the take rate as we move forward and it might sort of long-term target of around 30% remains the same. I still think the range over the short-term is 29 to 31, just above 31. In the short-term as we balance out the mix effect as the bigger brands are coming on board that long-term 30% still is what I have in mind.
Operator: Your next question comes from the line of John Blackledge from Cowen. Your line is open.
John Blackledge: Thanks so much. Just a couple of questions. You realized good leverage in the on-demand generation expense line. I'm wondering if you could provide some more details on the efficiencies you saw there in the quarter. And then on the guide, at the high-end plus 45% year-over-year, it's a bit of a bigger decel than you saw last year. Just curious with the higher selection with more brands and boutiques and department stores heading into the fourth quarter, the puts and takes for potential upside to your guide? Thank you.
Elliot Jordan: So in terms of guidance for Q4, obviously Q4 last year sort of the holiday season with the new brands coming on board, so we had quite a large collection of some of the bigger brands come on board. We're annualizing against that offering for the consumers so I think we need to see how that works through in terms of growth rate particularly on those brands and the mix effect on other brands. As I've said, we've got a fantastic offering down into the key events over the next seven weeks. I'm expecting 42-45% year-on-year growth. Again, a broad mix of supply driving that growth and it's really annualizing most of the brands that are causing the sort of drop to 45 from 53 across Q3. So just going back to your question on demand generation, as you've seen in the past, the same sort of effects is happening here, particularly the loyalty of customers. We're really able to drive good loyalty across the quarter. We've seen the GMV from existing customers again increase from year-on-year. And so that's helping us to bring down the overall demand generation costs as a spent percentage of revenue. But being in terms of targeting the online channels that we are using, that really is harnessing the power of data even better than we've done in the past through programmatic targeting to identify those with the sort of propensity to buy luxury and really focus our spend on those customers rather than blast the entire population. And that continuing to drive good efficiencies in terms of our cost provisions and absolutely bringing that acquisition of retention cost down.
Operator: Your next question comes from the line of Stephen Ju from Credit Suisse. Mr. Ju, your line is open.
Stephen Ju: Thank you. Jose highlighted a few new brands as direct partners on Black and White. Curious in terms of the way they behave when they sign on. Do they usually put all their inventory on all at once? Do they typically scale up over time? Trying to get some sense as to how quickly your skew count could improve from here on out. And Elliot, you brought up the FX translational impact to AOV. Anything you can highlight from a transactional standpoint as potentially the local purchasing power of a consumer gets negatively impacted? Thanks.
Jose Neves: Hi, Stephen, thanks for your question. Black and White are doing really well. So as Elliot said, it's rolling faster than the marketplace. We have created a process in terms of finding the brands, building the sites and apps. Now with three other designers, we've extended that to WeChat mini program and integration and onboarding a blueprint. It is now a streamlined process and we do see a very rapid input of inventory labels and as we integrate with the brand distribution centers but also with the brands' flagship stores. So they're happy with the Black and White performance.
Elliot Jordan: On the translation effect, as I said, that's the main driver of the reduction in AOV year-on-year. If you sort of strip that out on an underlying basis since you had a question about how customers are reacting as the currency's getting slightly weaker, we're actually seeing a growing mix of a category that is slowly lower priced. Jose mentioned earlier on around streetwear in China, that's a category that we are seeing growing very strong within the broad mix. But that's actually offset by higher items per basket. So a slight increase in items per basket outweighing that downward pressure from the mix. So the underlying AOV is broadly flat year-on-year. So people adjusting to different category mix but adding more items to the basket on average.
Operator: Your next question comes from the line of Ike Boruchow from Wells Fargo.
Tom Nikic: Hey, this is Tom Nikic on for Ike. Ike's sorry he can't be on the call but congratulations on a nice first quarter out of the gate. I just wanted to ask about the platform gross margin and the increase in the one-piece sales and how the interplay there. You had really strong 1P growth in Q3 and I'm kind of wondering, go forward, was that exceptionally high in Q3 and you also have the drag that we saw on the platform gross margin? Should lessen go forward? Just in general, how should we think about the platform gross margin in Q4? Thanks.
Elliot Jordan: Hi, Tom. So I think the key measure I look at obviously is the order of contribution margin. That captures all of the moving parts in terms of the variable costs within the basket. And is that what you've seen the Q3 - numbers that hit 82 bps to 44.8%. What's actually happening is, in terms of platform gross margin on its own, the investment into the free shipping proposition by putting more weight behind that is driving good engagement from customers. It's pushing down the platform gross margin because we're investing in the basket slightly more than the efficiencies we're gaining from our scale. We're obviously benefiting from the fact that we had a number of orders this year more than we had expected. So we're reinvesting the scale that's coming through from those orders back into the free shipping, driving down the gross margin. That actually is benefiting the demand generation costs. So net-net we're actually up in terms of that basket when you bring all of that together. The other side of it, as you see is the 1P business. That did grow around three times the rate of the overall market. And that's where we're really seeing opportunities to buy a product that we know our customers are going buy into using the base that we have around our customers, around the fashion trends that we're seeing, around categories that are performing very well, and using our own balance sheet to buy on that. Now, obviously, still quite small when you compare it to the overall marketplace. But a good opportunity to drive incremental sales. And we've also seen our full price margin within the 1P business, the gross margin from the 1P business, go up, as a result, beat a full price sell-through, fewer markdowns, and a much bigger mix in terms of meeting the customer requirements. So when you kind of add the investment and the free shipping, the savings we're getting in terms of logistics in terms of scale, the better 1P gross margins - obviously the headwind of the mix moving slightly more toward the 1P offset was the improving demand generation by using the data. We're actually improving the viable contribution per order. As I've said, 6%. If you did all the contribution over the number of orders, last year we were at $61.80. Order contribution from that order contribution divided by order, that's now up to $65.50, so a big step up there in terms of cost ability per order. I was just going to sort of follow-up on Tom's last bit to the question around moving forward. Long-term I would expect the 1P business to scale down at around 5% of our overall GMV. Clearly, it's a bit higher than that at the moment. I think in the short-term, we'll still see good growth from that 1P business. So 5-10% of our overall GMV short-term is probably where you can expect 1P business over the longer term that's going moderate back to 5% overall and the growth rates will turn back in line with the overall growth rates of the platform.
Operator: Your next question comes from the line of Louise Singlehurst from Goldman Sachs.
Louise Singlehurst: Hi, good evening. Firstly, thank you, Jose and Elliot, very clear commentary. So thank you for that. A couple of quick follow-ups from me. The focus on the building of the market share is absolutely clear and I think it's fairly evident by the big outperformance of the growth versus anything that we've seen in the luxury industry so far in Q3. Can you just talk about how the discussions with the brands are changing particularly now that you've got this big jump in terms of the number of active users coming through? With that, I'm really asking, what are you sticking points with brands not to join the platform? I presume that's around their data and data usage. My second question to Elliot if I may just in terms of if you can talk about more broadly how you manage the P&L given the big growth? Are you balancing the AOV with the demand generation? Are you very clearly getting a nice grade coming through with a high-profit contribution from the incremental sales? Thank you.
Jose Neves: Hi, Louise. Thank you for your questions. Great talking to you. I think there is a great interest around our platform, absolutely, from the brands. I think the brands have realized that Farfetch is a more strategic advantageous channel than other multi-brand channels, which have potentially wholesale and online. We offer higher margin, we offer full control over the merchandise uniques, and full control of pricing, which are critical actors for the brand. And Farfetch is now a global entity allowing the brands to crack very difficult geographies, such as China and the Middle East, Russia, back in America and reach the consumers they absolutely need to reach; the millennial and Generation Z consumers. So that's the great reaction that we've seen from brands. As for the other three, we are being extremely successful with the brands across different categories, different groups, and different geographies. We have pretty much most of the carrying group. On Farfetch we have some brands from LDMH such as Fendi. But some others on the platform. We have Valentino directly on the platform; we have Prada directly on the platform, Burberry directly on the platform. I don't know - your question around data, etcetera. It's not really a point of the distance because, in fact, I think we do provide anonymous data. That is very valuable to the brand. Obviously, the brands understand that GDPR rules are in place here and that are the full visibility of the individual data. Is not only a possibility. And that is very clearly understood and within those boundaries, we work with the brands to leverage the data because it's a win-win. The better decisions the brands make around their merchandising needs and what they should allow to Farfetch, the higher the conversion rate and the more efficient our own business gets. So as cost, that ad rent that we would love to have that are not yet on the platform, it's an ongoing conversation and as the seasons go by and as time goes by and we continue to prove that we were reliable, trusted innovation partners for the best brands in luxury, we expect those conversations to evolve in a public way.
Elliot Jordan: So just turning to your question about optimization and how we run the P&L It's a little bit like conducting an orchestra, really. There are quite a lot of moving parts. But I think the key thing that we do focus on is maximizing that order contribution both from a cash point of view but also the order contribution margin because that does take into consideration everything that's going on in terms of basket size, shipping costs, and benefits coming through there. Of course, take rate, as we see the mix's parts coming through. Plus the broad mix of channels that we spend money on in terms of engaging existing customers, which is obviously a key priority to keep our loyal customers engaged but then also targeting new customers to help drive the sort of engine for future growth as we see the cohorts in a really good place. And so we're monitoring that sort of order contribution cash, order contribution margin on a daily, weekly, monthly, quarterly basis to make sure we're getting the optimized level of profitability flowing through, which then, of course, allows us to invest into our technology. And as you've seen in the Q4 numbers, we've brought a little bit of that investment forward because we saw the additional order contribution coming through and felt right to invest in the great pipeline of activity that our product and tech team have to deliver. And so, really important for us to keep an eye on the sort of profitability per order point of view.
Operator: We have time for one more question. The final question will come from Lloyd Walmsley from Deutsche Bank.
Lloyd Walmsley: Thanks. Wondering if you can talk about what you're seeing across cohort behavior, specifically, are you seeing continued good retention and spending from older cohorts. And then, when you look at newer cohorts, are they showing similar patterns as the older cohorts? And then a second one if I can. I'm wondering if you can just talk a little bit about what you're learning in the new fine jewelry category. Is there anything different about this category in terms of customer acquisition or how your existing customers are purchasing in this category that you'd be able to share with us? And then any other new categories in the pipeline or that could be interesting to add to the platform over the next year or so. Thanks.
Elliot Jordan: Sorry to disappoint you, I'm not going to give you too much information on our cohort basis. We've seen a great step up in terms of active consumers from June into September. As I said before, we're seeing more GMV again come through from our existing customers. So year-on-year that proportion of GMV is again driven up Q3 on Q3. And we're seeing good payback as we've seen in the past. Good retention ability. Cleary a lot of work's going into as we've talked about in the past. Second and third order activation. So the team's working on our loyalty and really exciting developments in terms of engagement with customers there. Overall, we're happy where we are but unfortunately not going to break it out by cohort for you.
Jose Neves: Regarding the question around fine jewelry. Thanks for the questions about the topics I love to talk about. Very passionate about this new category. I think we've launched this with some great brands including Tiffany's and DeBeers and other great names such as the Dover Street Market collaboration. To your point, it is a different category. Obviously, the average order is much higher. We have a great VIP offering and the VIP department. Obviously, this category is attached to our private clients, which is the name we give to that segment our private client customers absolutely loved and they're driving a lot of the business in that category. And as I mentioned, we sold, for example, a $150,000 diamond necklace set just recently and we have seen lots of buzz and excitement around this category. To your point, it's a category where we're still learning. I think we're doing baby steps and we expect a lot of upsides and obviously big run rate in this new category. We're also excited, to your point, around new categories. We're very excited about street brands with streetwear. I think Farfetch already has the best selection of luxury streetwear on the internet. Our customer is 35 years old on average, 29 in China, and they love the category. Off-White, Stadium Goods, which is a big seller of the rare sneakers, limited edition sneakers, consignment marketplace, Heron Preston, Palm Angels, there's a lot of interesting brands and retailers that we have added to the platform and we will continue to next year to invest in that new category. Essentially, we see lots of run rate. I'd like also to mention kids, which is relatively new on Farfetch, only three seasons old. We see a big potential upwind in that market. So probably we will continue to make further progress on the categories that we've launched recently and that will be the focus for the coming seasons. I'd like to apologize again for the tech issues on the call. I don't know which side of the line was it but we seem to be back in good shape on the tech front, thank you.
Alice Ryder: Thank you all for dialing in and we look forward to speaking to you for our Q4 call.
Operator: That concludes today's conference call. You may now disconnect.